Operator: Good afternoon, everyone and thank you for joining OptimizeRx’s Third Quarter Fiscal 2022 Earnings Discussion. With us today is the Chief Executive Officer of OptimizeRx, Will Febbo. He is joined by company Chief Financial and Operating Officer, Ed Stelmakh; Chief Commercial Officer, Steve Silvestro; General Counsel and Chief Compliance Officer, Marion Odence-Ford; and Senior Vice President of Corporate Finance, Andrew D’Silva. At the conclusion of today’s earnings call, I will provide some important cautions regarding the forward-looking statements made by management during today’s call. I would like to remind everyone that today’s call is being recorded and will be made available for replay via webcast only. Instructions are included in today’s press release and in the Investors section of the company’s website. Now with that, I’d like to turn the call over to OptimizeRx CEO, William Febbo. Sir, please go ahead.
Will Febbo: Thank you, operator. Good afternoon, everyone and thank you for joining our third quarter fiscal 2022 earnings call. Our third quarter results were in line with our expectations, and as a result, we are maintaining our guidance for the year. We are optimistic that the macro headwinds outlined on our last call will begin to subside in 2023 and are seeing several positive signs. For example, the bandwidth issues at the FDA, which impacted novel new drug approvals this year, appear to be improving with the majority of vacant positions having been backfilled and the FDA increasing the rate of approvals over the last 2 months. Furthermore, while the great resignation increased average employee turnover across the life science industry, which resulted in substantial changes with key decision-makers, the rate of turnover appears to be solid and should eventually return to normalized levels. Finally, we mentioned longer sales cycles tied to our shift towards participating in larger, more complex programs with our pharma clients. As a reminder, these AI-enabled, real-world evidence deals represent multimillion dollar per brand opportunities and offer OPRX significant scalability. The closing of these deals naturally takes longer to complete, given the increased number of stakeholders involved at the customer level. Despite these factors, we are seeing significant momentum off the midyear trough that we believe should materially benefit the company in 2023. For example, we recently won two new real world evidence contracts with top 20 pharma clients during the fourth quarter and have multimillion dollar annual contract values. In addition, we renewed one of the first two RWE contracts we launched in 2021 and that client expanded its scope to an additional indication and is interested in further expanding across multiple oncology brands. We are in late-stage discussions to renew the second RWE contract from last year and also have numerous additional opportunities in our pipeline with multimillion dollar ACVs. We are confident that we are gaining traction with this very important growth driver and believe it aligns extremely well with the digital trends across the life sciences industry. With pharma manufacturers moving a greater percentage of their commercial spend toward omnichannel digital solutions while looking for those solutions to deliver more impactful results by not only identifying patients known to HCPs, but also pinpointing new patients for the therapies. We believe smarter solutions, such as OptimizeRx’s RWE, will capture the lion’s share of the pharma spend, particularly with legacy commercial dollars that are reallocated to digital. With that said, we expect we will have at least 6 RWE deals running during the first half of 2023, with many more in the hopper and believe just executing on the RWE opportunity we have in front of us today would position us to grow our top line by over 20% in 2023. Meanwhile, on the product side, we continue to drive significant value creation on behalf of our customers, helping them increase the ROI seen by their commercial teams by providing unique physician and consumer platforms and strategies, which help patients afford adhere to their treatment regimens. We recently highlighted one of those implementations with a top 20 pharma customer. The analysis detailed the success of our real-world evidence solution in identifying HCPs with patients at risk of non-adherence due to unexpected costs. Our RWE solution was a key in assisting doctors and patients navigating coverage gaps. Through the application of machine learning and artificial intelligence to real-world data, our RWE solution was able to accurately predict ATPs with at-risk patients in real time and the results speak for themselves as the program drove more than 200% growth over the manufacturer’s initial number of HCPs identified with at-risk patients. Over 46,000 incremental scripts among HCPs receiving affordability information and financial resources for their patients and more than 6:1 ROI on the manufacturer’s investment in the program, while 27% of the HCPs identified and targeted for the affordability information program enrolled a patient for the first time. In a different case study for another top 20 manufacturer, which analyzed results over a 12-month period, we demonstrated the effectiveness of our RWE solution in identifying patients that require specialty therapy within a very narrow timeframe from diagnosis. With our proprietary technology, we are able to collect, sort and make sense of information to directly identify providers who would likely have a patient suitable for this therapy and notify those providers of those patients in a timely and efficient way. We delivered extraordinary results for our manufacturing partner, while reducing the complexity in the care delivery system for healthcare providers and their patients. Results included a 28% increase in patients commencing the therapy for a healthcare provider with 33% of the new patients from the targeted HCPs having been identified by the model. Meanwhile, we continue to strengthen our channel network and recently renewed our exclusive partnership with NewCrop, which is now a subsidiary of Therapy Brands and a leading electronic prescribing service trusted by hundreds of EHRs nationwide. NewCrop offers HCPs a seamless e-prescribing experience within the EHR workflow. The expansion of this alliance showcases our leadership in contextual point-of-care HCP messaging as we consistently leverage an increasing number of touch points throughout the patient journey with our best-in-class platform. Finally, I would like to reiterate that we continue to be at the nexus of a significant systemic shift within the life science industry, where a substantial portion of pharma’s existing commercial spend, is expected to rapidly migrate to sophisticated strong ROI solutions. And I believe our platform technologies and best-in-class team are poised to capture a significant market share in the coming years. That positions us for strong profitable growth. And with that, I’d like to turn the call over to our CFO and COO, Ed Stelmakh, who will walk us through the financial details for Q3. Ed?
Ed Stelmakh: Thanks, Will and good afternoon everyone. As with all our calls, the press release was issued with the results of our third quarter ended September 30, 2022. A copy is available for viewing and maybe downloaded from the Investor Relations section of our website. Additional information can be obtained through our forthcoming 10-Q, which will be filed in the coming days. Turning to our financial results for the third quarter of 2022, our reported revenue for the period was $15.1 million, a decrease of 6% over the $16.1 million from the same period in 2021. The decreased revenue was tied to the macro factors Will discussed which we continue to believe are temporary in nature. Gross margin for the quarter increased from 56.3% in the year ago period to 62.4% in the quarter ending September 30, 2022 due to a favorable solution and network partner mix. As we highlighted in the previous earning calls, we have seen an increase in the percentage of activity flowing through channels with more favorable economics when compared to a year ago. Given our performance in the third quarter of 2022, we are reiterating our guidance, which calls for revenue to come in between $62 million and $68 million for the year and gross margin between 59% and 62%. Our operating expenses increased to approximately $13.2 million for the third quarter of 2022 as compared to approximately $9 million in the same year ago period. Increase in expense is primarily due to the investment in and expansion of the OptimizeRx team to enable future growth, which also includes our April acquisition of EvinceMed. Providing more color around our year-over-year increase in OpEx, nearly three quarters of the $4.1 million total increase was tied to non-cash expenses with the remaining amount being primarily related to the EvinceMed acquisition. We expect our cash-based OpEx run-rate for the fourth quarter of the year to stay relatively consistent with Q3 2022. We had a GAAP net loss of $3.5 million in the third quarter of fiscal 2022 as compared to net income of $0.04 million during the same period in 2021. For further details, please refer to the MD&A section of our forthcoming 10-Q. On a non-GAAP basis, net income for the third quarter of 2022 was approximately $1.3 million or $0.07 per fully diluted share as compared to non-GAAP net income of approximately $1.6 million or $0.09 per fully diluted share in the same year ago period. We also generated $7.9 million in cash flow from operations for the first 9 months of 2022 and $3.5 million during the third quarter. Our balance sheet remains strong with cash, cash equivalents and short-term investments totaling $78.8 million as of September 30, 2022 as compared to $87.4 million as of June 30, 2022. The sequential decline in our cash, cash equivalents and short-term investments was tied to our buyback. As a reminder, we announced a $20 million share repurchase program during the second quarter. And during the third quarter, we have bought back 693,000 shares for $12.2 million at an average price of $17.66. In total, we have purchased 1.1 million shares year-to-date at an average price of $16.70 per share and have 1.5 million remaining for repurchase under the buyback program. This amounts to nearly 6% reduction in our shares outstanding, which now stands at $17.2 million, which we view as a positive outcome for our shareholders. We believe our strong balance sheet and cash flow favorably position us to further expand our business solution offerings and drive profitable growth. We do not anticipate the need to raise additional capital in the short or long-term for operating purposes or to fund our organic growth plans. We are focused on growing our revenue and partner network. However, as a company in a market that is active with merger and acquisition activity, we may have opportunities such as for acquisitions or strategic partner relationships, which may require additional capital. We will assess these opportunities as they arise with a view of maximizing shareholder value. Now, I’d like to turn to the company’s KPIs to be introduced this past February to provide transparency as well as quantifiable metrics that can be used to continue to communicate our story as our business grows and matures. Our average revenue for top 20 pharmaceutical manufacturer came in at $2.2 million at the end of the third quarter of 2022 versus $2.5 million in the year ago period. This is largely due to the delay in the renewal of one of our initial RWE contracts that Will referenced in his prepared remarks and the addition of 1 new top 20 manufacturer over the last 12 months, which is still very early in their lifecycle with us. We continue to maintain a meaningful presence with 19 of the top 20 largest pharma companies, which represents the better part of the industry’s commercial spend. Our third quarter of 2022 net revenue retention came in at 96%, a reduction versus the second quarter of 2022, driven by this year’s lower revenue growth. Meanwhile, our operating model continues to demonstrate significant capability for leveragable growth with revenue per full-time employee at $619,000 for the third quarter of 2022. We continue to stay ahead of the technology industry packed average of approximately $500,000 per FTE, further demonstrating the strength of our operating model. Our KPIs illustrated the state of our business in an effective and transparent fashion. And we plan on continuing to communicate them as a way of keeping our stakeholders informed and connected to the underlying trends and dynamics of our business. This wraps up the discussion of our financial results. And now I’d like to turn the call back over to Will. Will?
Will Febbo: Thank you, Ed. Operator, now let’s move to Q&A.
Operator: [Operator Instructions] And our first question comes from Ryan Daniels. Your line is open.
Jared Haase: Yes. Hey, guys. Good afternoon. Thanks for taking the questions. This is Jared Haase on for Ryan. First one from us, just curious if you could talk a little bit just how things are going with your channel partners. And I think you mentioned a little bit of this during the prepared remarks and potentially seeing that as kind of a driver of gross margin favorability. So just would love to hear any update there as it relates to some of the recent wins and then what that means for your overall opportunity and how we should think about that impacting the income statement?
Will Febbo: Yes. Hey, thanks. Good question. Yes, channel is a big piece of our business. Obviously, we have done a lot of work on this over the years. And I think one of the things I always like to hear from our partners is we are an innovative partner with them. We are not just a commercial partner. And I think if you put the two together, you’ve got real staying power because we all know there is of friction and fragmentation in this market for our clients, for doctors and patients, so very focused. Really starting 2 years ago, we are looking at the specialty therapeutic areas, because the marketing spend is clearly shifting that way, done a great job reaching the major pockets. And we also realized that as pharma is looking for partners that are both technology and strategy, we also are looking outside the EHR and looking at what we’re calling omni-channel. And you’ve seen recent announcements where we’re reaching positions within various touch points. And our end goal over the next few years is to be able to get the right information to physicians, to help patients anywhere they are digitally. And that will positively impact the business, it will help us grab more budget dollars and we will certainly continue to drive improvement in gross margin. In the short-term, the mix has really been a combination of new partnerships as well as solution mix, and that’s given a great result. But we’ve got a very solid team on this and directly correlated to our clients’ needs and just continually focused on innovating with the partners.
Jared Haase: Okay, great. That’s helpful color. And then I guess just a quick follow-up, curious how you’re thinking about sort of the visibility into the rest of the year. Obviously, maintain the guidance range. And so if I look at the midpoint of the guidance, it implies a pretty decent sequential growth rate for fourth quarter. So just curious if you could talk about kind of your confidence in the remainder of the year and specifically what you’re seeing in regards to the typical seasonality around Q4 buy-ups.
Will Febbo: Yes, Ed, do you want to take that?
Ed Stelmakh: Yes, sure. Jared, great question. So I would say if you look at the full year guidance we gave, we’re probably at about 95% confidence level, achieving the midpoint at this point. So we’re not going to comment particularly in Q4. But as you know, Q4 does typically have a seasonal ramp up as compared to the previous quarters. This is pretty normal for our business. So roughly speaking, 95% confidence at this point.
Will Febbo: We have seen – I’ll just – a little more qualitative color on that is the conversations are terrific. I think our differentiator inside of Q4, which sets us up really nice for ‘23 is this RWE solution because it’s something that has proven itself in terms of measurement in finding additional HCPs and patients. And so we didn’t – we had that. It was really early last year, and we had measured it. So having that in the mix we’re seeing is a great differentiator as we’re finishing the quarter but also building up for ‘23.
Jared Haase: Awesome. That’s great to hear. I will go ahead and leave it there and hop back in the queue. Thanks.
Will Febbo: Thanks.
Operator: And our next question comes from Sean Dodge. Your line is open.
Sean Dodge: Yes. Thanks, good afternoon. Will, on the RWE offerings, you mentioned two deals signed already in Q4. It sounds like there was another two likely here in the near-term. When we think about contribution from those – the original two, you mentioned renewing now are – they were very large dollar amounts. Are these incremental four similarly sized? Are they smaller, bigger? I guess any help you can kind of provide there as we think about sizing those and contributions to 2023?
Will Febbo: Yes, sure. Yes, that was – I think we said they are all multimillion dollar, and we view those in 6-month increments, so multimillion times two. And the really encouraging thing there is the measurement came out really strong on both of the ones we won last year. Obviously, the headwinds got in our way a little bit this year on just keeping one of those flowing through the second half of the year, which obviously we’re seeing in the revenue. But the good news is that kicks right back up in January. And they are all up in terms of size of revenue. And the new ones, while they are not quite as big as those others, they are still very significant. And when you put the two together, it certainly helps gross margin given the architectural fees and such that are part of that solution. So not giving you a specific range, but they are all significant and what really is helpful in our shift as a business away from completely tactical, which obviously gives you less site long-term site of revenue. is it’s just stickier and programmatic, and it’s really at a much higher level within the client base. And so you put all that together and it’s going to help us continually get more mature, as Ed likes to say, as a business when we’re getting predictability of revenue, but also inside the relationship with the client. It’s really – it’s taken us up many notches.
Sean Dodge: Okay. Alright. That’s great to hear. And then you previously mentioned non-scalable competition entering the market and slowing the sales process or sales processes. Is there any updated views you can share on that dynamic, how the industry is working through it?
Will Febbo: Yes. Let me toss it over to Steve. He’s in the front line there, and then I can build in after.
Steve Silvestro: Yes. Thanks, Sean. Thanks for the question. Yes, I mean in the – really in the second half of the year, we’ve seen – of last year, beginning of this year, we’ve seen several smaller kind of adjacent competitors coming in with small pieces of networks, really limited reach, but overpromising. What’s encouraging is that we are now in the second half of this year, all of those impact analyses are coming due. And so we are seeing an influx of clients basically coming back saying, hey, we ran a program with fill in the blank. It did not deliver what we anticipated or what they promised us. We’d like to flip it back to you guys or flip it over to you guys and continue with the program. So more activity around that. But basically, all of those smaller overpromising, underdelivering competitors that have claimed to have network access are now being somewhat outed in the market, which I think is good for us because we’ve got a really strong bedrock based network with a decent moat around it, as you know. And we just continue to deliver as Will has stated and you heard him just say it again, really solid return on investment for our clients and so feeling really confident in that in terms of competitive landscape.
Sean Dodge: Okay. That’s encouraging to hear. Thanks, again and congrats on the good progress this quarter.
Will Febbo: Thanks, Sean.
Operator: Our next question comes from David Grossman. Your line is open.
David Grossman: Thank you. Good afternoon. I wonder if I could just follow up on some of your comments about the RWE activity. It sounds like you expect to have six contracts in place in the beginning of next year. And that gives you confidence that you could – I want to make sure I understood your comments right. Does that mean that you feel confident with that activity alone, you can grow 20%? And if I am understanding that right, if you could maybe talk about just the mechanics and cadence of how those contracts work? Because I know there is a front-end kind of implementation phase and then it goes into the kind of the more automated mode kind of ARR type of revenue rec. So just if you could clarify those things that would be great?
Will Febbo: Yes. Hey, David, for sure. So our business even next year will still have a healthy degree of tactical and media purchasing, so it does not imply that, that alone will drive growth. But the tactical part, we have a pretty good handle on. And again, we have a closed network, which no one else has, and it’s proprietary and advance of really strong CPMs. And I will say we’ve taken the second half of this year to really reinvigorate our focus on the agencies as clients. They have been terrific partners. And while we certainly focus on the MSAs with big pharma, which we have, pharma uses agencies, right? So there is a clear connection with the two. We view them all as clients, and we think that will secure and grow the tactical part. And then the RWE on top of that is it’s beefier, it’s more consistent. And again, it’s at a higher level in the organization. So it’s just more predictable and the contracts are pretty solid. So we are still building, still developing, David. It’s not mostly that yet. But just having it gives us a lot of confidence that we will get back to the growth that people expect from us. And frankly, that the white space in the market allows as well as these headwinds getting out of our way.
David Grossman: And just in terms of cadence, Will, how do we think about that? If you’ve got these new contracts were ramping and many of them are new, that front-end piece, does that skew revenue at all to the first half versus second half or vice versa? Just how should we think about just the mechanics of the rev rec on those new deals that will be ramping next year? Because it sounds like you have several that you expect to be ramping in the first half of the year.
Will Febbo: Yes. So we expect some of the setup and architecture to actually be done in Q4. That’s a positive and to get to – and the remaining in the first quarter and then the distribution of those messages throughout the first half. So it’s going to give us much better visibility on the first half with type of revenue that is just builds more confidence. And so when we report Q4, we will be able to get into a little bit more specifics on that. At this stage, it’s still relatively early in the quarter in a quarter where every day is pretty active. So we can get more specific about that cadence on the next call.
David Grossman: And just one last one, just on the retention, so we – it sounds like in your prepared remarks that, that’s being negatively impacted by the renewal of that RWE. Is there a natural point in which we kind of – have we hit bottom for retention, do you think or the retention bottom in the fourth quarter and then start building from there, assuming a somewhat stable kind of macro environment, if you will?
Will Febbo: Yes, Ed, do you want to take that one?
Ed Stelmakh: Yes, yes, sure. David, great question. I would say we’re probably getting close to the bottom. I think the biggest variable here is how quick the recovery will come. Obviously, we got four quarters looking back right now captured in that number, and that’s really driving that number to what you’re seeing now. So my hope is if our projections come true, we should start to see that number recover sometime next year.
Will Febbo: Yes. Thanks. I would just add to that, David, that I think we are going to see follow-on effect from the client base. I think this approach is going to really be differentiated. And the more and more we have conversations – we mentioned two new clients getting in on this pipeline is very healthy, so yes. But to your specific question, yes, the bottom it’s up from here.
David Grossman: Alright. Great, thanks again.
Will Febbo: Thank you.
Operator: And our next question comes from Joy Zhang. Your line is open.
Joy Zhang: Hey, guys. Congrats on the quarter. And thanks for taking my questions. The first question is a follow-up on Will’s earlier point about agency clients. Can you just talk to where you are right now with direct to pharma versus working with agencies and also how that should evolve over time?
Will Febbo: Sure. Yes. So you might want to mute because I can hear you on the floor. So the – all our business is with pharma, right, 100% of it. And so just so the investors are clear, you need MSAs to do that. But pharma relies heavily on agencies in three ways, media, content and strategy. And so we have relationships with over 50 agencies because ultimately, once a client has decided to work with us, we then work directly with the agencies to make it all work to make sure the content is compliant and works. The strategy when it comes to things like RWE and other areas of challenge for our clients and then obviously, media spend, which is more tactical and also plays really nicely into our omni-channel approach now. So they are a part of the universe and an essential, almost like adviser to pharma. We don’t really break out what percentage of revenues where because it could be as simple as they are just paying the bill. But ultimately, our sales force is directly focused on the clients and then working with those agencies that facilitate that relationship.
Joy Zhang: That’s super helpful. And as a follow-up, any chance you can give a percentage of revenue for the RWE business? And maybe remind us on how the contract economics are structured. Specifically, you mentioned nations are happening in 4Q. So does that mean you can potentially benefit from buy up this 4Q specific in the RWE business or not?
Will Febbo: Just taking the last one first, not really talking to buy-ups, we think it’s just a little too early to get into that. However, it is a good time to get those newer clients set up for ‘23. So, we will see some of that setup economics. We don’t break out the percentage, but just as a range, they can be anywhere from $0.5 million to $1.5 million in terms of the setup, and we generally get that done over a three months period of time. And then it moves to just distributions, which is like most of our business, but at a higher CPM. So – and then on the – relative to the RWE pipeline, we don’t break it out. We don’t really talk about pipeline anymore. But I think we are leaning on it pretty heavy to make sure the message is out there that, that will be a growth driver on top of the tactical work. Steve, do you want to add anything to that?
Steve Silvestro: No, I think you covered it, and I think all your comments have covered it well. It will be more predictive revenue, less transactional and Q4 will reflect some of that. So, I think you covered it.
Joy Zhang: Okay. Great. Thanks very much. Very helpful.
Will Febbo: Thank you.
Operator: [Operator Instructions] And our next question comes from Eric Martinuzzi. Your line is open.
Eric Martinuzzi: Yes. I wanted to ask about the guidance for Q4. It looks like a pretty wide range, $19 million to $25 million roughly. And just curious, you talked about 95% kind of there already. Is it just buy-ups that is causing the wide band, or is there – is it RWE setups? What’s behind that wide band?
Will Febbo: Well, I think – hey Eric, how are you doing? This is Will. We feel the headwinds we expressed in Q2, Q3, we obviously were saying they are subsiding, but they are still around. So, we don’t want to get ahead of it. We would rather be conservative on the approach towards the end of the year. And I think that range is smart for our size company. It’s really about managing expectations. And so we feel really good that we will be able to do that range. As Ed said, we have 90% viewed today, and it’s very early in November. So, I think that should give people confidence that we should be able to do that and fully focused on it as a team.
Eric Martinuzzi: If we hit the high end of it, it will be because of fill in the blank.
Will Febbo: Yes. It would be decisions by the clients moving a little faster, buy-ups coming in that we don’t know about yet, that kind of thing.
Eric Martinuzzi: Okay. And then you talked about the – one of the bigger issues back 90 days ago on the reset for the year was the below new drug approvals as well as increased turnover rates that client companies. The – you talked about an increased rate of approvals over the past two months. What exactly do you mean by increased rate of approvals?
Will Febbo: You are just seeing the FDA be more active in approving specialty medications. If you just look at the logs, you will see that, clearly, they have staffed back and the backlog is getting worked through. And that’s good for us. Let’s just remind everyone that, that means that those brands, which are probably in areas that we are focused in, will get approved and have to go-to-market, and therefore, we will kick into gear helping those clients. So, it’s all connected.
Eric Martinuzzi: Yes, what’s the lag there? Is there – I mean drug gets approved, then how many months before the spin fires off?
Will Febbo: Once it’s approved, they are building awareness immediately.
Eric Martinuzzi: Got it. Okay. Thanks for taking my questions.
Will Febbo: Thanks Eric.
Operator: And our last question comes from Marc Wiesenberger. Your line is open.
Marc Wiesenberger: Yes. Thank you. Revenue from customers outside of the pharma’s top 20 was the best level, it looks like in at least the last seven quarters. Could you highlight some of the dynamics impacting some of your smaller customers relative to the larger pharma customers?
Will Febbo: Andy, do you want to take that one?
Andrew D’Silva: Yes. Absolutely. So, I think really what you are seeing is just a factor of the cadence that Will highlighted on the prepared remarks. So, basically, one of our larger customers with the RWE renewal resulted in just the numbers kind of looking a little weird in the third quarter. So, effectively because they weren’t there, from a percentage of revenue standpoint, make some of the smaller customers seem higher. And so that’s really what’s supporting that being a bigger percentage of the overall business?
Marc Wiesenberger: Okay. And then…
Will Febbo: That’s why we feel like it’s the bottom. And once those kick in, it should bring back – come back nicely.
Marc Wiesenberger: Sure. Understood. And then you mentioned smart digital technologies taking the lion’s share of commercial dollars that had transitioned from legacy to digital solutions. I am wondering if you could elaborate a little more on that.
Will Febbo: Well, if you just think of the dollars that are out there for sales reps, conferences, speaking bureaus, all that good stuff. Pharma obviously pulled back through the pandemic. There is a lot – they still have reps. The size is smaller. There is enough out there to see that, that is a shrinking community. But the needs are greater in terms of communication with doctors and patients on the pharma side. And frankly, things are more complex and more expensive. And so this is where we think this education of the market as awareness that this resource is fully available for them and compliant measurable is starting to be seen. We saw a little bit of noise with everyone rushing into grab digital dollars. That really confused the market. And I think it’s lifting now based on what Steve said, around measurement and you have got to actually support what you said, and that’s getting harder for smaller companies, whereas ROI year-over-year just goes up given the solutions that we have around helping patients start and stay on therapy. So, I think you are going to see that continue, and the dollars are going to be efficiently spent and the ROI is going to be strong enough that I think the CAGR of spend will continue to be really attractive in this space despite the economy and sort of some macro headwinds.
Marc Wiesenberger: Got it. And then just a final one for me. In the release, you talked about the RWE could drive 20% growth next year. If you could parse out a little bit in terms – is that just kind of up-sells to existing brands? Is that winning new brands? What type of conversion rate would that equate to? And then kind of how does – how do you think about the growth rate in other parts of the business relative to – you previously had talked about kind of 30% growth was achievable kind of at the end of last year, early this year. How would that all factor into potentially getting you back to those levels? Thank you.
Will Febbo: Yes, sure, Marc. Well, it’s – there is a lot of pieces to that question. But I think, ultimately, as we said, tactical, we feel like we have set the wheels in motion to grab that business and grow it. RWE is going to be a very large growth compared to last year. And you put those two together and you are just more relevant to your clients, which means you will capture more shares because the budgets are all bigger on the digital side. So, we feel like we have got all those lined up. We have got the team to execute the network to reach and the tech to be secure and compliant. So, yes, we haven’t given any clear direction on ‘23. We just referenced that we feel like we have got the pieces to get us back to that 20% growth.
Operator: And we have no further questions in queue at this time.
Will Febbo: Thanks operator. Once again, thank you everyone for joining us on our update call this afternoon. We continue to work through the opportunities before us with the expectation that more projects will come online in the coming quarters. We are maintaining our focus on product execution to continue to deliver superior ROIs on behalf of our customers, which has and will continue to pay dividends as we execute against the opportunity within the vast white space that we continue to sell into. Our core strategic imperatives and operating strategies have not changed, and we will expand upon our innovative solution set, which address the needs of our customers while improving care for HCPs and patients. We are fully confident in our best-in-class platform offerings, while our growing point-of-care network remains unrivaled, creating a significant competitive moat around our business. As a result, our domain expertise in bridging the digital communication gap in healthcare in order to improve medication awareness, access, adherence and affordability remain unsurpassed. Finally, we built a business that is capable of driving across various economic backdrops. We generate positive free cash flow and have a sizable war chest that positions us to be highly opportunistic on the strategic front. Meanwhile, large pharma, our largest customer base, did very well throughout the pandemic and their balance sheets remain extremely healthy, and we are continuing to move more and more spend to digital solutions. So, outside the three factors that I highlighted earlier, we should be more insulated from broader macro factors than most industries, particularly as the FDA and pharma workforce turnover issues work to us out [ph]. We want to actually thank our employees, shareholders, customers and partners alike as we continue to build out our solution on one unified omnichannel platform. We look forward to the next update call and fully expect to see positive momentum carry us into fiscal 2023. All the best.
Operator: Thank you, sir. Before we conclude today’s call, I would like to provide the company’s safe harbor statement that includes important cautions regarding forward-looking statements made during today’s call. Statements made by management during today’s call may contain forward-looking statements within the definition of Section 27A and the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934 as amended. These forward-looking statements should not be used to make investment decisions. The words anticipate, estimate, expect, possible and seeking and similar expressions identify forward-looking statements. They may speak only to the date that such statements are made. Such forward-looking statements in this call include statements regarding estimation of total addressable market size, market penetration, revenue growth, gross margin, operating expenses, profitability, cash flow, technology, investments, growth opportunities, acquisitions, upcoming announcements and the need for raising additional capital. They also include the management’s expectations for the rest of the year and adoption of the company’s digital health platform. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether because of new information, future events or otherwise. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Future events and actual results could differ materially from those set forth in, contemplated by or underlying these forward-looking statements. The risks and uncertainties to which forward-looking statements are subject to include, but are not limited to, the effects of government regulation, competition and other material risks. Risks and uncertainties to which forward-looking statements are subject to could affect business and financial results are included in the company’s annual report on the Form 10-K for the quarter ended December 31, 2021. This form is available on the company’s website and on the SEC website at sec.gov. Before we end today’s conference, I would like to remind everyone that this call will be available for replay via webcast only starting later this evening, running through for a year. Please refer to today’s press release for replay instructions available via the company’s website at www.optimizerx.com. Thank you for joining us today. This concludes today’s conference call. You may now disconnect your lines.